Operator: Welcome to the Cross Country Healthcare second quarter 2010 earnings conference call. At this time, all participants are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. (Operator Instructions) Today’s conference is being recorded and if you have any objections, you may disconnect at this time. I would now like to turn the meeting over to Mr. Howard Goldman, Director of Investor and Corporate Relations. Sir, you may begin.
Howard Goldman: Good morning and thank you for listening to our conference call, which is also being webcast and for your interest in the company. With me today are Joe Boshart, our President and Chief Executive Officer and Emil Hensel, our Chief Financial Officer. On this call we will review our second quarter 2010 results, for which we distributed our earnings press release after the close of business yesterday. If you do not have a copy, it is available on our website at www.crosscountryhealthcare.com. Replay information for this call is also provided in the press release. Before we begin, I’d first like to remind everyone that this discussion contains forward-looking statements. Statements that are predictive in nature, that depend upon or refer to future events or conditions, or that include words such as expects, anticipates, believes, estimates and similar expressions are forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause our actual results and performance to be materially different from any future results or performance expressed or implied by these forward-looking statements. These factors were set forth under the forward-looking statement section of our press release for the second quarter of 2010, as well as under the caption "Risk Factors" in our 10-K for the year ended December 31, 2009 and our other Securities and Exchange Commission filings made during 2010. Although we believe that these statements are based upon reasonable assumptions, we cannot guarantee future results. Given these uncertainties, the forward-looking statements discussed on this teleconference might not occur. Cross Country Healthcare does not have a policy of updating or revising forward-looking statements and thus it should not be assumed that our silence over time means that actual events are occurring as expressed or implied in such forward-looking statements. And now, I will turn the call over to Joe.
Joe Boshart: Thank you, Howard. And thank to everyone listening in this morning for your interest in Cross Country Healthcare. As reported in our press release issued last evening, our revenue for the second quarter of 2010 was $118 million, down 21% from a year ago. Net income was $1.2 million, down 49% from the year-ago quarter. EPS was $0.04 per diluted share versus $0.07 in the year-ago quarter and cash flow for the second quarter was $13 million. On a sequential basis, revenue was down 3% while net income was up 4% from the first quarter. As I stated on our last earnings call in May, I believe we have weathered the worst of the downturn in our operating environment. While demand for our Nurse and Allied and Physician staffing services is well off levels of two to three years ago, we expect our sequential performance to improve beginning in September and to continue into the fourth quarter. We based these expectations on improving trends in our Nurse and Allied Staffing business which represented 51% of total revenue in the second quarter. In this segment, we have seen significant improvement in the demand in most of the country over the past two months, which is very encouraging to us. More importantly, we continue to add attractive new hospital systems to our roster of vendor management clients, which should allow us to take an even larger size of an increasing market opportunity as we move through the second half of this year. In our physician staffing business, revenue was up slightly on a sequential basis from the first quarter, essentially mirroring the normal seasonal pattern of this business. As such, we cannot yet ascribe revenue momentum in the segment to improvement in underlying demand trends. However the typical fourth quarter seasonal drop in acquisition in the physician staffing business should be more than offset by building momentum in our Nurse and Allied Staffing business. In our Clinical Trials Services segment we have increased revenue by 4% sequentially as our staffing activity continued to rebound. The strength in staffing was offset partly by continued weakness in drug safety monitoring, outsourcing and regulatory consulting activity. Staffing activity accounted for 95% of our Clinical Trials segment revenue in the second quarter, substantially above the 75% contribution in the year-ago quarter. Even with this somewhat unfavorable shift in mix for our Clinical Trials segment, gross profit margins for the company as a whole were 200 basis points favorable to the year ago quarter. Our continued focus on profitability and cash flow allowed us to make the remaining earnout payment in April of nearly $13 million to the sellers to the MDA, which we acquired in 2008 without increasing the company’s debt outstanding in the second quarter. There are no more earnout payments facing the company. Subsequent to the payment of the earnout with the support of our lenders, we elected to amend and extend our revolving credit facility to be co-terminus with our term debt facility in September 2013. While Emil will into more detail in a few moments, I would like to point out that we were able to accomplish this without affecting the rate we pay on our remaining $56 million of term loan outstanding, which carries interest rates currently below market. To summarize, investors can expect sequential revenue improvement in the coming months from Cross Country Healthcare. In addition, we believe there will be consolidation opportunities coming off the deepest trough in our industry during the past 15 years. However, having said that we will maintain the same disciplined approach toward evaluating acquisitions and managing our balance sheet but our shareholders have come to expect from us. And with that, now I would like to turn the call over to Emil who will update you on more detail on our second quarter financial performance. Emil?
Emil Hensel: Thank you, Joe and good morning everyone. First, I will go over the results for the second quarter and then review our revenue and earnings guidance for the third quarter that we provided in the press release issued last evening. Revenue in the second quarter was $118 million, down 21% versus the prior year and 3% sequentially. The revenue decline reflects primarily the soft demand in our Nurse and Physician staffing businesses earlier this year, which we believe was caused by the weak national labor market. More recently we have seen an improvement in demand for travel nursing services which should allow us to generate sequential revenue growth in the fourth quarter based on normal lags in this business. Our gross profit margin was 28.6%, up 200 basis points over the prior year quarter, and 90 basis points sequentially. The margin improvement was due to a change in business mix among segments, coupled with improvements in the bill-pay spread as well as lower housing and professional liability expenses. SG&A expenses in the second quarter were down 14% from the prior year, reflecting our actions taken to reduce overhead expenses during the past year. On a sequential basis, SG&A expenses were down 2% reflecting lower payroll taxes. Our SG&A expenses in the second quarter included approximately $700,000 in equity-based compensation expenses as compared to approximately $400,000 in the prior year quarter. During the second quarter, we reversed approximately $200,00 of bad debt expense reflecting an improvement in the quality of our receivables. Net interest expense was $1.1 million, down 26% from the prior year quarter reflecting the continued delevering of our balance sheet made possible by our strong operating cash flow. As Joe indicated, during the second quarter we amended and extended our revolving credit facility to be co-terminus with our term debt so that they are now both maturing in September of 2013. As the same time we reduced the size of the currently undrawn revolving facility from $75 million to $50 million. We were able to accomplish this expansion without modifying the below rate on our term debt. The interest rate spread, which is based on our leverage ratio is currently 200 basis points over LIBOR on the term debt and 350 basis points over LIBOR on the revolver. The effective income tax rate was 48% for the second quarter as compared to 14% in the first quarter. The higher tax rate was anticipated when we provided our guidance for the second quarter and resulted from certain onetime discrete items that affected us favorably in the prior quarter. For the remainder of the year we expect our tax rate to remain in the low to mid-40% range. Net income in the second quarter was $1.2 million or $0.04 per diluted share. This compares to $0.07 in the year-ago quarter and $0.04 in the first quarter. Turning to the balance sheet, we ended the quarter with $56 million of debt and $10 million of cash and short-term cash investments. Our leverage ratio as defined in our credit agreement was 2 to 1, well under the 2.5 to 1.0 ratio allowed. Net of cash, our debt to total capital ratio was 15% and the current ratio was 2.7 to 1.0. Day sales outstanding were 50 days, unchanged from both the first quarter and the prior year quarter. We generated $13.4 million of cash from operating activities in the second quarter including a $5.6 million federal tax refund. Capital expenditures totaled approximately $400,000. During the second quarter, we completed the last earnout payment on the MDA acquisition of $12.8 million. Let me drill down next into our four operating segments. Revenue for the Nurse and Allied Staffing segment was $59.8 million, down 24% versus the prior year and 8% sequentially. We averaged 2,163 field FTEs in the second quarter, down 21% versus the prior year, and 9% sequentially. The year-over-year declines in the staffing volume reflects the steep drop in demand that we experienced in 2009, which we believe was caused by a combination of a weak national labor market, a reduction of surgeries and the impact of the liquidity crisis in our hospital clients. The sequential volume decline reflects the relatively weak bookings we experienced in the first quarter that we discussed on our last earnings call in May, and also reflects normal seasonality. Net weeks booked in the second quarter were relatively flat compared to the prior year. However relative books which measures net weeks booked as a percentage of average field FTE count improved from 88% in the first quarter to 97% in the second quarter and have averaged 114% so far in the third quarter. If the third quarter booking trends persist, we would expect a 5% to 10% sequential volume increase in our Nurse and Allied Staffing segment in the fourth quarter. Segment revenue per FTE per day in the second quarter was down 3% from the prior year but was up slightly on a sequential basis from the first quarter. Average hourly bill rates in our Travel Nurse Staffing business were down 3% from the prior year partly due to changes in the geographic mix and they were essentially flat sequentially. Contribution income, as defined in our press release, was $6.1 million in the second quarter, down 16% from the prior year and but up 3% sequentially. Segment contribution margin was 10.2%, up 100 basis points from the prior year and 110 basis points sequentially. The year-over-year margin increase is due to improvement in the bill-pay spread and lower housing expenses coupled with the steps we took during the past year to reduce overhead expenses. The sequential margin improvement was due to seasonal factors related to the reset of payroll taxes and the impact on housing expenses of one less day in the first quarter. Let me turn next to our Physician Staffing segment. Revenue was $31.3 million in the second quarter, up slightly on a sequential basis but down 23% from the prior year. Physician Staffing days filled were down 18% from the prior year but up 5% sequentially reflecting normal seasonal trend. The recession and the weak housing market appeared to have delayed the retirement plans of many older physicians. These factors, along with a reduction in the number of surgeries, has resulted in a decrease in demand for temporary physicians. The decline in demand was particularly large in anesthesiology, which historically has been one of MDA’s largest specialty areas. Segment contribution income for the second quarter was $3.7 million, representing a 11.9% contribution margin, up 170 basis points from the prior year and 260 basis points sequentially. The year-over-year margin improvement was due to a favorable professional liability accrual adjustment reflecting a change in mix to lower-risk specialties and geographic locations as well as better than expected loss development. Revenue in our Clinical Trial Services segment was $15.8 million, down 19% from the prior year but up 4% sequentially. The year-over-year decline reflects the conclusion of large clinical trial that we were contracted to manage in the third quarter of 2009. The core staffing component of our Clinical Trials business, which accounted for 95% of the segment’s revenue in the second quarter grew both on a year-over-year and sequential basis, reflecting higher average bill rate. Contribution income was $1.7 million, down 25% from the prior year but up 8% sequentially. Revenue for the other human capital management services segment was $10.9 million, up 6% from both the prior year and the prior quarter. Contribution income was $800,000, down 22% sequentially but up 143% from the prior year. The year-over-year improvement in contribution income reflects the strong performance of our education and training business. This brings me to our guidance for the third quarter of 2010. The following statements are based on current management expectations. Such statements are forward-looking and actual results may differ materially. These statements do not include the potential impact of any future mergers, acquisitions or other business combinations, impairment charges or valuation allowances or any material legal proceedings. We project the average Nurse and Allied field FTE count to be in the 2100 to 2150 range in the third quarter. Consolidated revenue for the third quarter is expected to be in the $114 million to $117 million range. We expect a gross profit margin of approximately 28% and an EBITDA margin in the 4.5% to 5% range. Interest expense in the third quarter is projected to be flat sequentially. Depreciation expense is expected to decrease sequential by approximately $400,000 as certain older assets become fully depreciated. Based on these assumptions, earnings per diluted share are expected to be in the $0.01 to $0.04 range. Additionally, we expect our debt leverage ratio at the end of the third quarter to remain around 2.0 to 1.0, well below the 2.5 to 1.0 allowed under our credit agreement. This concludes our formal comments. At this time, we will open up the lines to answer any questions that you may have.
Operator: (Operator Instructions) Our first question comes from Paul Condra with BMO Capital Markets.
Paul Condra – BMO Capital Markets: I just want to talk about some of the operating margins that you’re seeing in the Nurse and Allied and also the Physician Staffing segments. I wonder if you could just give a little more detail around how sustainable you think those levels are looking at the rest of the year for the contribution margin?
Emil Hensel: Let me focus first on the gross profit margins. We had a 200 basis points improvement year-over-year and about 90 basis points improvement on a sequential basis. Some of the year-over-year improvement can be attributed to mix. I would estimate roughly 80 basis points out of the 200 has to do with changes in segment mix as our higher gross profit margin segments had a higher percentage of the overall revenue contribution. The remainder is probably evenly split between or roughly evenly split between three other factors; improvement in our bill pay spread in our Nurse and Allied segment is one of those factors, lower housing expenses also in the Nurse and Allied segment and lower professional liability expenses in our Physician segment. These factors are sustainable in my opinion although there was an element of onetime accrual adjustment in the professional liability having to do with better than expected loss development and lower risk specialty mix in our Physician Staffing business. And overlaid on top of all of this is the lower SG&A burden that all of our operating units are carrying as a result of the steps we have taken during the last year. If you look at it from a sequential standpoint, the gross profit improvement, a large part of it has to do with the professional liability accrual adjustment in our Physician Staffing segment, paid old taxes in the second quarter.
Paul Condra – BMO Capital Markets: You are talking about some increases in volume going into the third quarter. How does that impact the SG&A expenses and –
Emil Hensel: So we expect our SG&A expenses and this one could be relatively flat on a sequential basis. So in this short term we don’t expect a significant impact on SG&A.
Joe Boshart: And just to clarify, we expect volume to be really increasing beginning in September. So towards the end of the third quarter by carrying through into fourth quarter and that’s really a function of the book to bill information that Emil provided in his prepared comments. We had pretty weak production, particularly in the first quarter, it was just okay in the second quarter but below a 100%, which is needed to sustain the level of volume that we have. So we had weakness heading into the third quarter but things have been pretty strong since June. Therefore we expect volumes to pick up in September but really that would begin to show up more materially in the fourth quarter reflecting the historical, the last couple of months of bookings, but also reflecting some pretty attractive new VMS clients that we are bringing on in the fourth quarter.
Paul Condra – BMO Capital Markets: Are you seeing that more in the Travel or on the per diem side, if you could make any comments there?
Joe Boshart: It is, Travel is by far and away our biggest subset within the Nurse and Allied segment but it will affect both, but the greatest absolute benefit will be felt in our Travel Nursing business.
Operator: Our next question is from Chris Rigg with SFG.
Chris Rigg – SFG: I was just wondering if you could give us some color about the structure of the staffing contracts particularly in the travel nurse staffing business. Has anything changed, sort of the length of time or the lead time to booking? Any color there would be great.
Joe Boshart: As far as I am concerned at the onset of the decline in the business, we did see a modest reduction in the length of contracts if anything that has begun to go the other way, we are seeing longer contracts more typically. And I would just as the number of open orders has increased over the last couple of months, and it’s been a significant increase on the order of, let’s 60% from early June to where we are today, so a noticeable increase. The quality of the orders appears to be improving as well. So it definitely calls for some encouragement for us. Unfortunately it doesn’t really show up in our third quarter guidance but we do have a high level of confidence that our fourth quarter is going to look better and conceivably can be, show some year-over-year gains for the first time in a number of quarters.
Chris Rigg – SFG: And to your point there, so you are expecting or you feel reasonably confident that you could see year-to-year revenue growth in Q4?
Joe Boshart: It’s not guaranteed but it is certainly a possibility.
Chris Rigg – SFG: Okay. And you would characterize that, at this point, it’s much more than just the normal seasonal uptick from Q3 to Q4, there’s truly a rebound in demand?
Joe Boshart: Yes, when you talk about seasonal demand in the Nursing business, you are really talking about the key Sunbelt States of Florida and Arizona and that is not what is driving the increase, it’s really national, and regions that historically are important to us, we are seeing improvement in the New England, in the Northwest; California, which had been weakening is recovering. So we are encouraged, I mean we – Arizona, which had been approaching zero, a key state for us historically, typically one of top five is almost three times the level of acquisition today than it was a year ago and in the heat of summer and particularly in the Phoenix market. So that’s encouraging. So we think there are a lot of good things happening and it is widely geographically dispersed. A year ago, we had a similar uptick and we talked about it, I believe in our third quarter call last year, in hindsight and the benefit of more information, that uptick appeared to be largely correlated to the number of or the percent of physician business with H1N1 indications, if you overlay the increase in our orders to the increase in physician visits with H1N1 indications, and then the tailoff towards December, it was almost the same chart. So on hindsight, that was largely a function of H1N1. Today there is really nothing you can correlate it to that, nothing in the news that would suggest what it is, we hear from the hospital and public companies and our private clients that surgeries continue to be weak. So we think there is some level of fatigue in nurses that have been working more hours than they were accustomed to. I think that’s beginning to show up in the numbers. The labor markets have been positive but not strongly positive but you are not seeing job losses, you are seeing job gains typically year-over-year. So we are encouraged that this is real and likely to be sustainable.
Emil Hensel: And just to add to that, when we look at our demand, it’s not only the absolute number of positions that has been increasing, but also the number of active accounts has been increasing as well. So it’s not that our needs are coming from a concentrated subset of hospitals. The breadth of the demand is also broadening.
Operator: Our next question is from Tobey Sommer with SunTrust Robinson Humphrey.
Tobey Sommer – SunTrust Robinson Humphrey: A quick follow-up to the last question. You talked about a 5% to 10% potential sequential pick-up if the bookings trends remain in the Travel segment in the fourth quarter. What would normal seasonality to the extent we can remember what that’s like, do sequentially from 3Q to 4Q in the Travel business?
Emil Hensel: Really the seasonal effect is primarily felt in the second half of December, typically the fourth quarter, the first couple of months in the fourth quarter remained quite strong and then it drops of very steeply around the middle of December right before Christmas and New Years. Generally we have about 20% drop in the second half of December.
Joe Boshart: I think just to add to that, seasonality, a normal seasonality would show up in the third quarter. We would typically see a slight increase in activity in the third quarter. Our guidance does not suggest that is going to happen this year. And I would put the normal seasonal increase in the third to the fourth quarter in a low single digit range.
Tobey Sommer – SunTrust Robinson Humphrey: Okay. Just to clarify, if you were going to see a seasonal uptick in third quarter revenue, you would have already seen it in the bookings, correct?
Joe Boshart: Correct.
Tobey Sommer – SunTrust Robinson Humphrey: Okay. I had a question about M&A. We’ve got what once was a significant industry player and still is out there in bankruptcy and we’ve seen some activity in the space recently. Does the change in your available liquidity suggest anything about your appetite to participate?
Joe Boshart: I think in our prepared remarks, we believe the condition of the market increases the likelihood of the potential for acquisitions. I would just caveat that by saying we have historically maintained certain disciplines, so that – certain return criteria that we look for, and we will stick to those. The fact that industry recently had a fairly significant consolidation event, we think will be good for us. In the absence of us doing anything, we think that’s actually a benefit to us as it eliminates our competitor, a key competitor in many RFP processes by large systems that are coming out, looking a vendor manager someone to manage that, a temporary clinical staffing activity. We don’t feel we have to do something and we feel we are in a good position right now. VMS is a key trend within our business, but we have had a lot of success in winning VMS contracts. We have today a breadth of offerings that covers Travel Nurse, Travel Allied, per diem nurse, and we have a pretty robust platform to manage VMS contracts. So we don’t feel like we have to do anything strategically to improve our position. So I would describe our interest as being opportunistic. If we believe we can add value to our shareholders in the short and long term, we are going to do that and we have the capacity to do it but if we are unable to find an attractive acquisition at the right price, we are prepared to grow the business organically as we go forward.
Tobey Sommer – SunTrust Robinson Humphrey: What is the total available liquidity now, given the changes in some of your capacity? And then, Joe, could you comment about the number of recruiters you have now and how you view the available capacity in those recruiters to serve a larger revenue base?
Emil Hensel: Let me address the liquidity question first. The current revolver capacity is $50 million, we have about another $10 million or so in cash and short-term investments. Now, offsetting some of that is about $12.5 million of letters of credit backed up by our revolver. Having said all of this, for a small acquisition, we obviously have the capacity to do it out of our revolver but for a significant acquisition we would expect to go back to our banking syndicate and for a new term debt. Our leverage ratio is 2 to 1, so we have ample capacity to increase our senior debt.
Joe Boshart: As to the second part of your question, our recruiter count is down about 40% from the peak. By comparison, our volume is down about 60% from the peak, the recent peak. So I believe we have very substantial capacity to add without adding recruiters and it would be our intention not to add significantly to our recruiter count. And where we have lost recruiters been typically in those – the least tenured just couldn’t earn an adequate living where we are highly commissioned and the way we compensate our recruiters. So our best people, our most tenured people with the most capacity are the ones we have and I think we have enormous capacity. If we have a 20% improvement in volume, I don’t think we would add a recruiter to accommodate that. As we go forward and if the industry trends look sustainable, look attractive, then we will start thinking about adding recruiters but right now I think we are very comfortable with who we have and the number we have.
Operator: And the next question is from Gary Taylor with Citigroup.
Gary Taylor – Citigroup: Just a couple quick ones. The lower professional liability expense, I guess the positive development, how large was that?
Emil Hensel: Well, it was about 50 basis points of gross profit margin improvement can be attributed to that. It came really entirely from the physician staffing segment where professional liability expenses were trending down to a change in mix amount specialties and also geographic areas as well as some favorable loss development.
Joe Boshart: Just as an example, anesthesiologists are among the most expensive to ensure, that’s what we see in the greatest decline. For example, our anesthesiology historically was our number one specialty, today it’s not in the top two. The silver lining is our professional liability goes down commensurately.
Gary Taylor – Citigroup: I certainly understand the mix trend and what the right run rate expense should be there. I was just trying to understand if there was kind of an extra benefit in the quarter that maybe wasn’t go-forward. But it sounds like you’re primarily saying because of the change in mix, this will continue to be lower than it has been historically.
Emil Hensel: Certainly we will expect that for the remainder for this year.
Gary Taylor – Citigroup: Just coming back to M&A a little bit, and I know you’ve made a couple comments on it already. I think kind of my significant question, particularly seeing how the market has responded to the other transaction we saw is, what are your thoughts around using your stock as currency with the stock price down, roughly cut in half from where it was two years ago before we started into this downturn?
Joe Boshart: Historically we haven’t used our stock in transactions. Having said that, in this environment where – we have had a couple of head fakes, I don’t want to say that what we are experiencing now is a head fake, but I wouldn’t want bet our shareholders that we have got to figure it out and it’s a trend line up from here. So I would be more inclined to be conservative in the structuring of a transaction. And I think every transaction is different and we would just want to make sure that we are not adding too much leverage to the business, not counting on too many synergies to make an acquisition work and one way to lower the risk profile is to use equity. So I don’t want to tell you that we would never use it but it’s not – hasn’t been our historical MO to use stock to grow the business through acquisition. Does that answer the question?
Gary Taylor – Citigroup: Yes, it does pretty well. I guess maybe another slightly different angle is people that are willing to sell their businesses in this environment, if they believe there’s a cyclical upturn out there, somewhere might be more attracted to having stock that would benefit from that cyclical upturn versus having cash, which may not. So do you sense any change or preference in appetite among sellers who presumably are selling businesses that have probably been pretty depressed over the last couple of years as well?
Joe Boshart: Yes, I think every deal is different. I think it depends on who the sellers are and what their objectives were and are going forward. Sorry, I would hate to paint myself into a corner as far as deal structuring. I guess what we would commit to is we are going to do our darndest make sure that it’s a good deal for our shareholders, that we are maintaining a discipline and achieving the kind of return objectives that we have looked for historically.
Operator: At this time, there are no further questions.
Joe Boshart: Okay, thank you everyone listening again for your time and attention and we will look forward to updating you in November on our third quarter. Thanks very much.
Operator: Thank you for participating on today’s conference. The conference has concluded. You may disconnect at this time.